Operator: Ladies and gentlemen, welcome to the STEP Energy Services Q3 2022 Earnings Webcast Conference Call. [Operator Instructions] This call is being recorded on Thursday, November 3, 2022. I would now like to turn the conference over to Dana Brenner, Senior Adviser, Investor Relations. Please go ahead.
Dana Brenner: Thanks operator and good morning everyone. Welcome to STEP’s third quarter conference call and webcast. It was a quarter that delivered more record results but in different ways than the second quarter. I am pleased to introduce today’s raw STEP speakers. Steve Glanville, our President and CEO, will give some opening remarks. Klaas Deemter, our CFO, will follow with an overview of the financial highlights before turning it back to Steve for some strategy and outlook focused commentary and then closing remarks. We will host a Q&A session to follow. Before I turn it over to Steve, I would like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our Q3 2022 MD&A. Several business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to the Risk Factor and the Risk Management section of our MD&A for the quarter ended September 30, 2022 for a more complete description of business risks and uncertainties facing STEP. This document is available both on our website and on SEDAR. During this call, we will also refer to several common industry terms and certain non-IFRS measures that are fully described in our MD&A, which again is available on SEDAR and on our website. With that, I will pass the call over to Steve.
Steve Glanville: Thanks Dana and good morning. Thank you for joining our Q3 2022 conference call. As noted, my name is Steve Glanville and I am the President and CEO of STEP Energy Services. I am pleased to share our Q3 results as well as an outlook for the remainder of 2022 and into ‘23. By now, you will have had the opportunity to look at our most recent results. I would like to address four major themes upfront. First, following the remarkable strength of our second quarter, in Q3, we set a new quarterly record for adjusted EBITDA, even though our revenue dipped slightly from the record level achieved in Q2. Traditionally, the fracturing business is one where movements in top line are accompanied with larger proportional moves in midline, or in STEP’s case, adjusted EBITDA. This achievement in midline was due to the diversity of our business and the exceptional execution that our team of STEP professionals continued to deliver to our clients. Second, our North American coiled tubing operation posted excellent results, including the strongest quarterly top line results ever for our U.S. business, and this included only 1 month of contribution from our U.S. deep coil acquisition on September 1, 2022. We will have more to say on the acquisition later, but we remain very excited by the future possibilities for our North American coiled tubing business unit. Third, the benefits that results from having a cross-border business were very evident in Q3, aside from the fact that the U.S. dollar increased by about 2% versus the second quarter, which helps our results when translated back into our home currency. U.S. revenues were closer to our Q2 record levels than our Canadian revenues. U.S. margins also increased slightly despite the small revenue decline. In short, we believe the right business model in pressure pumping is a cross border one, and we will pursue growth in both geographic regions. Fourth and finally, during this quarter, we entered into a unique partnership with a major client, which gave STEP a $10 million deposit to operate a Canadian frac fleet to a Tier 4 dual-fuel capable fleet. This will result in an operational savings for our client, quality and consistent fracturing pricing for STEP and a great ESG story for both of our companies. With that, I will turn it over to Klaas, our CFO, to go over the financial highlights.
Klaas Deemter: Good morning. Thanks, Steve. If we take a look at the context for our Q3 results, it was a quarter of continued volatility in the market as Central Banks tightened financial conditions to fight inflation. The effect on commodity prices was mixed through the quarter. WTI oil prices slid from about 108 barrels – $108 per barrel at the start of the quarter to about $80 by quarter end. U.S. natural gas prices jumped around a little bit, starting just below $6, peaking roughly at $9, before finishing the quarter just a little bit higher than $6. Despite this, the rig count continues to increase, recognizing that global supplies of oil and gas are still tight and need to increase. Canada had an average of 200 land-based drilling rigs operating in Q3 2022, and the U.S. has 745 rigs. Although the rate of increase is slowing as the industry continues to struggle with labor and supply chain issues, the steady march upwards in the rig count supports our thesis that 2023 will continue to remain constructive for our services. So turning to the details, as a management team, we are pleased that this quarter showed the adaptability and strength of the broad business model. Consolidated revenue was $245 million, which is up 84% year-over-year, but off sequentially from the Q2 2022 levels. As expected, fracturing revenue was impacted by a change in job mix and by additional maintenance days. In contrast to the large pad work that we had in the second quarter, the Canadian service line shifted to smaller jobs in the third quarter. These jobs have lower revenue, but internal operational efficiencies and improvements in pricing earned through the quarter were key factors that allowed us to drive margins higher. In the U.S., following an extremely busy second quarter, our U.S. fracturing service line was expected to have lower utilization due to planned maintenance days. Utilization was also impacted by client NPT in the quarter, which is obviously hard to predict. Coiled tubing revenue increased significantly in both countries, reflecting the growing strength in this service line. Canadian coiled tubing revenue increased just over 20%, largely due to the ramp-up from spring break up, while U.S. coiled tubing revenue increased by almost 40%. We are seeing much stronger utilization and pricing in the U.S. market than we have been used to and we are very pleased with how well the acquisition we made in early September is performing. The coiled tubing service line is foundational to our company and it doesn’t always get the profile it deserves when we talk about our business, but the results in Q3 show again why it continues to play a key role in STEP’s success. In contrast to the decline in revenue, adjusted EBITDA hit a new high water mark of $58 million, up nicely from $18 million a year ago and up 5% from the $55 million in Q2 2022. Adjusted EBITDA margins continue to trend higher as well to 24% in Q3 from 20% in Q2 and 17% in the first quarter of this year. We don’t disclose individual service line margins, but I want to emphasize that we saw improvement across the board in all service lines, underscoring a structural improvement across our business. Net income, which is a critical profitability measure and one that we haven’t been able to focus on for many years, was solid as well. We earned $30.9 million in net income, up from a net loss of $3.4 million last year in Q3. It was down from the $38.1 million earned in Q2, but please note that we had several one-time non-cash items in that quarter that positively affected earnings. Details are available in our Q2 MD&A. The improvements in EBITDA and net income margins, comes from increased pricing to our clients, which is not always an easy discussion. We work hard to maintain strong client relationships, and we see the improvements in our margins as an acknowledgment from our clients that they depend on a strong oilfield service sector to support their production goals. Free cash flow, which is ultimately the most important metric in our business, improved to $40.1 million, up massively from the $5.4 million in Q3 2021 and up from the $33.2 million in Q2 of this year. This robust level of cash flow enabled the company to continue reducing leverage bringing our net debt to $148 million, achieving our year-end target of $150 million 1 quarter early. We now have reduced debt by $160 million since the peak in 2018, which is a major accomplishment when one considers what our industry has gone through in those years. From a capital markets perspective, the reduction in our balance sheet leverage has accrued to our shareholders, but I also want to acknowledge that this progress would not have been possible without the shared sacrifice of our employees to whom we owe a huge debt of gratitude. Finally, I will touch on our announcements around the capital spending. We added a modest amount of sustaining capital to our 2022 capital budget, reflective of the significant change we have seen in our business since that initial sustaining capital budget was approved in late Q4 of 2021. Our business is capital-intensive and the results we are posting don’t come for free. We also announced our 2023 sustaining capital budget earlier than usual, given the long lead times for major components and parts. We will evaluate the optimization portion of our capital budget for 2023 as part of our regular business planning cycle and expect to have an announcement around that in early Q1 2023. With that, I’ll turn it back to Steve for some key remarks on our operational strategy and outlook.
Steve Glanville: Thanks, Klaas. At the beginning of the call, I highlighted a number of important themes that contributed to our success in the third quarter. I’ll expand on how those themes support our ongoing strategy. Generating a record amount of adjusted EBITDA takes great teamwork, especially when you don’t have record revenues as the base to achieve it. Our team of professionals are doing an exceptional job of scaling our operations to the mix of business that our clients want to perform. We can’t control our clients’ programs, but we can control how we react and execute our programs, while keeping efficiencies and safety top of mind. An important insight from Q3 is that we are willing to capitalize on key acquisition opportunities when they are strategically aligned with our business model and offer good value for our shareholders. Our $17 million acquisition of four deep capacity coiled tubing units in the Permian on September 1, extends our lead as North American’s deepest coiled tubing provider. Three of the four units will be working in the quarter and the fourth be brought online in Q1 2023 after some minor upgrades. Our U.S. fleet will total 13 active coiled tubing units in the quarter. I will mention that all four of the units were manufactured in the last 4 years and our purpose built for the growing number of 3-mile plus laterals being completed in West Texas to date. It is also important to note that the seller of these assets is a competitor and was willing to take both of the purchase price in STEP equity, roughly 2.6 million shares. The payback on this investment of STEP is expected to be in the 18 to 24-month range, which we believe is very attractive. This is a good opportunity to address our strategic position as the North American pressure pumping company. That includes both fracturing and coiled tubing services. We believe that the U.S. and Canada are the two premier global markets for land-based pressure pumping. The U.S. has been the world’s swing supplier of oil, predominantly in the Permian for the last 5 to 7 years. The Permian is where our operations are largely focused. The U.S. has also become the largest exporter of global LNG. While the ongoing war in Ukraine, global natural gas markets are even more dislocated, requiring more U.S. LNG projects in the years to come. Our deep coiled tubing acquisition gives us more exposure to the gas development that will occur in the Southern U.S. In Canada, our fracturing and coiled tubing businesses are in the excellent position to grow as the market ramps up its natural gas deliveries into LNG Canada and other smaller LNG projects in the next 3 to 5 years. In short, it makes a lot of sense to be a North American pressure pumper, especially as LNG increases in the global energy mix. In mid-September, we announced the first example of a strategic and very unique partnership with the global pressure pumping space. One of our major Canadian clients paid a $10 million deposit to help us upgrade 16 pumps with Tier 4 dynamic gas blending, or DGB, engine technology. These pumps which will make up on complete Canadian frac fleet are state-of-the-art assets and will allow operators to displace diesel and use their own field natural gas as the principal fuel input, saving up to 85% of the diesel cost and dramatically lowering emissions. For our clients, they get the first right of refusal, our first right of use of the fleet for 3 years, which will ensure they get best-in-class equipment to fracture their wells. First step, we received a commitment from a trusted client partner that will result in predictable utilization and embedded pricing that will meet internal thresholds. This partnership represents a new capital model that we believe can utilize with great success in our industry and could see the introduction of new emission-friendly, operationally efficient equipment to the marketplace. We expect the upgrade to be finished in Q2 of 2023. From an ESG perspective, when finished, 63% of STEP’s North American fracturing fleet will be made up of low-emission horsepower. On the operations side, I will sum up my thoughts as well as some strategy discussion as follows. We continue to focus on maximizing our field efficiencies for our clients. Every minute matters. And for us, as job mix changes, finding operational efficiencies and focusing on the execution of safe and repeatable programs can generate very positive returns. We like the diversity of our business between well fracturing and deep capacity coiled tubing operations. We also like the diversity between geographic areas in Canada and the U.S. Finally, we will continue to look for unique opportunities and partnering arrangements where we can drive value creation for all parties. To close, I will address the outlook for STEP and start with Canada. As we move through the early parts of the fourth quarter, we are likely to see more of a traditional modest Q4 rollover inactivity as 2022 completion budgets are exhausted and as producers gear up for an extremely busy first quarter in 2023. In our Q2 investor conference call, we noted that several Canadian frac fleets have been added in the back half of this year. The combination of these extra fleets and budget expirations for some energy producers has pushed the Canadian market into what we believe a slightly oversupplied position in Q4. However, looking into the first quarter of 2023 and beyond in Canada, we once again expect a balanced supply/demand situation in fracturing, underpinned by growth in year-over-year E&P budgets, progress and the willingness of the Blueberry River First Nations to allow development with territorial lands, and the ramp-up of completion activity related to the LNG Canada project. As well, early indications suggest there will be some level loading of Canadian completion budgets in the Q2 of 2023. As noted earlier, we activated our ninth coiled tubing unit in Q4, which will facilitate further growth in that business unit even before the ongoing strengthening of pricing. Turning to the U.S., the outlook is more consistently positive. The U.S. fracturing market remains very tight. And we expect a more favorable mix of business in Q4 with a focus on pad work where our efficiencies really shine. Early indications of U.S. activity in 2023 are also very strong. Material increases in fracturing capacity seem unlikely in the first half of the year, which should keep market tightness intact and lead to further improvements in pricing, much as we are seeing now on the U.S. land drilling side. Finally, our U.S. coiled tubing operation will enjoy the benefit of activating our 13th unit in the field sometime in the first quarter. Year-over-year growth in the business unit on the top and midline should be attractive for STEP in 2023. Before I turn it over to the operator, I would like to highlight two final points. Congratulations goes out to one of our West Texas crews for achieving a new depth record on one of our ultra-deep coiled tubing units. The record was set in late September when we were drilling out plugs on a lateral well roughly 8,100 meters or 26,600 feet of total depth. Great work, team. Finally, on September 30, our former CEO and one of our co-founders, Regan Davis, retired from STEP. I want to personally thank Regan for his guidance and mentorship over the last 11 years. His vision helps us steer our company through some very good and also some very turbulent times. He leaves an enduring legacy and his relentless pursuit of flawless execution, a passion for building a unique company culture and his ability to inspire positive thinking within the minds of those he connected with. Thank you, Regan, for all you have done and good luck in your next chapter. With that, I would like to turn it back to the operator and open it up to any questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of John Gibson from BMO Capital Markets. Please go ahead.
John Gibson: Good morning, guys. Nice work on the balance sheet, obviously, over the past few years and especially in Q3. I’m just wondering what your optimal net debt level is as we move into next year and beyond, not just looking at leverage metrics, but actually a firm number?
Klaas Deemter: That’s a great question, John. Thanks for that. And just, again, very pleased with the performance that we’ve seen from our business on our balance sheet. If we think ahead to where we want to be 2023 and beyond, I think what we are seeing from all those oil and gas companies, particularly pressure pumpers is a continued focus on debt reduction. I think optimally, maybe the perfect number is zero. I think there is an argument to be made for capital efficiency to have it slightly higher than that. We kind of look at our working capital as a good kind of benchmark to say that should be kind of within that working capital number. So, if you do head into a downturn, and as you unwind working capital, you will harvest some cash and be able to pay down debt. Our goal is absolutely to go to be prepared for any kind of situation that comes across, I guess comes down the road to us to be able to respond through all phases of the cycle, and that really means a lower – much lower debt number.
John Gibson: And then I guess the follow-on, like, once you get there, has your thinking changed just in terms of capital priorities with regard to further debt repayment, bolt-on M&A like we saw this quarter or even capital return to shareholders?
Klaas Deemter: Yes. Those are all – as we think, I guess in the 2023, back half of ‘23, we have been very active as a company through our history on the acquisition front. We are focused on adding capacity where we think it makes sense for us. The ProPetro deal was a great example of that. We were able to use a little bit of balance sheet and a lot of equity. If there is opportunities like that, that present themselves, we will look really hard at them. Shareholder returns is something that we are seeing our peers in the U.S. talk a lot more actively about. One of our competitors here in Canada has been very active with an NCIB. So, those are things that we would consider. Dividends, NCIBs, those kinds of things are – would be on the table as we look at. What to do with our cash flow, kind of when we get the debt down to a reasonable level. And then as we think about our business and where we have been over the last number of years, the Tier 4 announcement that we made was an example of the reinvestment that we see is, it provides opportunity for us, and that will lead to increased cash flow. So, there will be some of that mixed into it as well.
John Gibson: Okay, great. Thanks. Just last one from me. Can you comment on staffing issues, not just for you but for your peers as well, just given the recently added capacity in Canadian pressure pumping?
Steve Glanville: Hi John, it’s Steve here. It’s real for sure. We have been extremely fortunate with our business. We have offered up different rotations that fit kind of a work-life balance kind of mindset for a lot of new professionals coming into this industry. I would say, though, it is a concern. The growing, I guess average age of our field professionals is around that 35 to 37 mark. So, it is a concern bringing in kind of new entries into this industry. So, we are looking at ways to attract those new professionals. We also offer a unique kind of driver training program within the company where we are a certified driver trainer and offer Class 1 licenses. So, it’s helped to expedite a lot of the training time to get into the field.
John Gibson: Okay, great. That’s all for me. I will turn it back.
Operator: [Operator Instructions] Your next question comes from the line of Josef Schachter from Schachter Energy Research. Please go ahead.
Josef Schachter: Good morning Steve and Klaas. A lot of the questions I had were answered. But with the problems in the Permian, with take-away capacity for natural gas and the negative natural gas there. Is there solutions with pipe to get that natural gas taken away to market so that the activity level doesn’t kind of pause until that solution comes to – is that something that’s a solution in the next few months, or is that something that’s going to take a year or 2 years to get the pipeline approvals? And will that kind of put a crimp on how much further growth you have in the Permian?
Steve Glanville: Hey. Good morning Josef. Yes, great question. And it is obviously top of mind for us. We haven’t seen any pullback from our clients on reducing any activity. In fact, some of our clients are talking about expanding their programs in the Permian in 2023, and you are seeing that from an active rig count that’s been deployed. So, there are solutions that are out there today, and I know there is a number of major projects in the works of basically adding additional pipe capacity, increasing the overall output of the existing infrastructure. So, there is a number of things that are in the works right now. Josef, I just really can’t comment 100% on when those are going to be done and etcetera. But from our side, from what we understand today as the business is carrying on and in fact, is increasing.
Josef Schachter: Okay. The other one for me is nice margin improvements on both sides of the border. In the past, we have talked about kind of peak margins might be in the 30s. Is that something you think is possible in second half of ‘23, or is that something that’s going to take more time for both sides of the boarder to get to those. You are very close on the Canadian side in Q3, 20% on the U.S. Do you see the 30 handle being reachable on both sides of the border in the second half of ‘23?
Klaas Deemter: I will go back to my comment around pricing that I made, Joseph. Those aren’t easy discussions to have with clients. We appreciate the support that they have given us through this. They always think they are paying too much. We don’t think they are paying enough. But I think when both parties walk away a little bit unhappy, that means we probably struck the right balance. In Canada, as we look forward to Q1, I think we will probably see some improvement there. As overall, everybody is busy and some of that softness that we are seeing in Q4 will go away. I would say there is limited room for improvement in Canada. In the U.S. certainly as we continue to grow in that business, or I guess continue to progress into 2023, we will see some more improvements in our frac margin there. And as we continue to grow coil, I think there is room to grow there. The challenge that we have as a three frac crew company is we do get hit sometimes by some of these maintenance – planned maintenance slowdowns that we had in Q3, and it does affect the efficiency of our margins. We are reinvesting back into that business, and the work that we did in Q3 set us up well for Q4 and into Q1. So, I think we will see an improvement down there. But are we going to hit a consolidated 30% in the back half, I am looking forward to seeing that, but I am not going to predict that that’s going to happen right away.
Josef Schachter: Super. Thanks Klaas. One more for me, do you need to bring more coil? You have the 16 units and you had 8 units working in the quarter in Canada. Do you need a long-term contract? Do you need – is there – somebody needs to cover the cost of upgrading? How do you perceive bringing on an additional unit or units in Canada, and what are the kind of parameters that we need to think about in terms of what needs to happen for that to occur? Is it covering a long-term contract? Is it spending the money for the upgrades, if needed, how do you perceive that?
Steve Glanville: Yes. Josef, the units that we have that’s available to enter the market do not require a lot of capital, if any, at all. So, they were kind of parked and in great working order. It’s an interesting market, of course. We are one of two from a market leader perspective in Canada. If there is – I guess if you can predict, and we see obviously, a higher activity level in the Montney and Duvernay plays where unique coiled tubing in the middle of plugs, etcetera. We do have the capacity to stand up additional units. Right now, I believe it’s a quite balanced market. And to be able to stand up another fleet is quite easy. It’s minimal headcount from – and when you compare it to a fracturing fleet. So, it’s easier to stand up in that manner. And we wouldn’t require a longer term contract. These are – as we see the business, it’s obviously primarily milling out plugs or tied with a frac crew for a frac down analysts or down coil. And so it’s quite repetitious, I guess in that way, and so we are pretty happy where we are positioned today on that business.
Josef Schachter: Super. That’s it for me. Thanks very much and again congratulations on the great quarter.
Steve Glanville: Thank you.
Operator: There are no further questions at this time. Please proceed.
Klaas Deemter: Okay. Well, thanks everyone for joining our third quarter conference call, and we look forward to chatting to you after our fourth quarter results. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for your participation and ask that you disconnect your lines.